Operator: Hello and welcome to the Virtu Financial 2023 Quarterly Results Conference Call. My name is Harry and I'll be your operator today. [Operator Instructions] It's now my pleasure to hand you over to Andrew Smith, Head of Investor Relations, for Virtu Financial to begin. Andrew, please go ahead when you're ready.
Andrew Smith: Thank you, Harry and good morning, everyone. Thank you for joining us. Our second quarter results were released this morning and are available on our website. With us today on this morning's call, we have Mr. Douglas Cifu, our Chief Executive Officer; Mr. Joseph Molluso, our Co-President and Co-Chief Operating Officer; Ms. Cindy Lee, our Deputy Chief Financial Officer; and Mr. Sean Galvin, our Chief Financial Officer. We will begin with prepared remarks and then take your questions. First, a few reminders. Today's call may include forward-looking statements, which represent Virtu's current belief regarding future events and/or, therefore, subject to risks, assumptions, and uncertainties, which may be outside of the company's control. Please note that our actual results and financial conditions may differ materially from what is included in these forward-looking statements. It is important to note that any forward-looking statements made on this call are based on information presently available to the company and we do not undertake to update or revise any forward-looking statements as new information becomes available. We refer you to disclaimers in our press release and encourage you to review the description of risk factors contained in our annual report, Form 10-K and other public filings. During today's call, in addition to GAAP measures, we may refer to certain non-GAAP measures, including adjusted net trading income, adjusted net income, adjusted EBITDA, and adjusted EBITDA margin. These non-GAAP measures should be considered as supplemental to and not as superior to financial measures as reported in accordance with GAAP. We direct listeners to consult the Investor portion of our website, where you'll find additional supplemental information referred to on this call as well as a reconciliation of non-GAAP measures to the equivalent GAAP term in the earnings materials with an explanation of why we deem this information to be meaningful as well as how management uses these measures. And with all that, I'd like to turn the call over to Doug.
Douglas Cifu: Thank you, Andrew and good morning everyone. Thank you for joining us this morning. In my remarks today, I will focus on Virtu's second quarter 2023 financial and business performance and strategic initiatives. Following my remarks, Joe and Cindy will provide additional details on our performance. Looking at our year-to-date and second quarter results, which are summarized on slide two of the supplemental material, we generated $4.5 million of adjusted trading net income per day in the quarter and normalized adjusted EPS of $0.37. Slide three highlights that our Market Making segment earned an average of $3.1 million per day of adjusted net trading income, outperforming the public market metrics for the quarter, and our Execution Services businesses delivered $1.4 million per day. In the second quarter, our customer Market Making saw decreased opportunity as the overall bid offer spread and retail participation levels declined relative to the prior quarter. Although these factors led to decreased opportunity for our customer Market Making business, we performed in line with our own internal performance projections. As we've said previously, Market Making share alone is limited as a gauge of performance, but it's worth noting that our market share in the wholesale Market Making business remains within historic ranges. Our non-customer Market Making business, which provides liquidity across asset classes globally, performed well in the quarter, although it's opportunity was also impacted by the muted volumes and volatility environment. Our organic growth initiatives, including our expansion into options Market Making continue too performed well and make meaningful progress. We remain excited and optimistic about our growing abilities to address the global opportunities that await, especially in option ETF block and fixed income. On the Execution Services side, our adjusted net trading income averaged $1.4 million per day in second quarter. Much like the last two quarters, institutional activity remained muted as our clients continue to look for more clarity from the macroeconomic environment. Most pronounced pan-European volumes were 16% lighter in the second quarter with institutionally sized large and scale volumes down over 20%. Despite these challenging markets, VES performed in line with this opportunity quarter-over-quarter as well as year-to-year. Our multiyear focus on efficiency and new business development has yielded a scale multi-asset class global business that is laser focused on our clients. As I've mentioned in the past, we are particularly excited about the expansion to new asset classes. We're seeing increased uptake of our automation analytics, especially in fixed income markets which continues to drive new opportunities for growth and enhances our current business. While the overall environment in the second quarter was softer, especially characterized by a very slow start in April, we were encouraged by improving performance in the latter part of the quarter. In these very early days of the third quarter, we are seeing some modest enhanced opportunity, in particular, in our customer Market Making business. While we are generally pleased with how we performed against the addressable opportunities in the second quarter and how we continue to deploy these new businesses, we continue to focus on ways to improve in any environment and seek out new opportunities. It is important to note that we continue to invest in recruiting talent in any market environment. While Virtu's headcount has remained relatively stable after years of up and downs due to integration, the steady headcount total masked the significant investments that we have made in people and talent in strategic areas of focus. Since January 2021, we have hired almost 300 full-time employees including quants and developers in options, ETF blocks, fixed income, or asset money market business and other growth areas. We have also invested in hiring the right team of client-facing folks to continue to grow our VES business. Most recently, we hired Keith Casuccio, a respected industry veteran, to lead client engagement and product efforts within VES. As always, we remain relentlessly focused on cost and realized a 44% adjusted EBITDA margin during the period. Coming off a record 2023, our option performance -- our options business has performed well against declining opportunities set in the quarter. We continue to expand across venues and geographies. However, in the US, market-wide customer index options volumes were down 11% in Q2, impacting results in the quarter. We continue to build out our block ETF debt by improving our competitive edge and expanding our offering to cover more products and more regions, including fixed income, both in credit and rates. The operating scale we enjoy from our standardized global technology platform allows multi-tool players to immediately contribute to the growing business in any region or asset class as we reallocate personnel to focus on the biggest opportunities. However, this quarter was slower in ETF block as you may have seen from other announcements from our competitors recently. I will now turn it over to Joe who will provide additional details about the quarter. Joseph?
Joseph Molluso: Okay. Quickly turning to expenses and capital. We focus on cash OpEx. We ended the first half of the year with cash operating expenses that were $322 million, about 3% ahead of where we ended the full year 2022 annualized. We continue to manage expenses aggressively, especially in the soft environment in inflationary times. Our cash comp ratio is at 25% for the first half of the year, which is at the upper end of historical range. So, consistent with Virtu's history, we will manage the discretionary compensation and headcount to drive profitability for our shareholders while retaining and recruiting world-class talent as Doug mentioned. So, other expenses were up slightly in line with our expectations. Communications and data processing expenses were essentially flat versus the prior year and up 2% year-over-year owing to some investment in building out new businesses in the global inflationary environment and other expenses on an annualized basis are up a bit due to some favorable FX adjustments in the prior year and some increased professional fees. In terms of guidance for 2023, we would expect our cash operating expenses to come in on an annualized basis equal to the first half of 2023. On capital and debt, you can see our trading capital remained relatively constant throughout the year on slide six of the supplemental material. We've maintained our public $0.96 annual dividend, which we have now paid steadily since we've been public for eight years. And you can see there that our payout has remained steady despite our variable results over the long-term. This consistency demonstrates our commitment to returning capital to shareholders and our ability to generate robust results over the long term. In addition, we repurchased 2.3 million shares this quarter for approximately $42 million. Our period-end share count is now 167.9 million shares, and we have repurchased net of compensation-related new issuances, almost 15% of our company in the two-plus years since beginning of our share repurchase program. Since the inception of our share repurchase program, we have repurchased a total of 38.5 million shares for a little over $1 billion. Again, please refer to the outcomes at various performance levels on slide eight, to see that our year-to-date share repurchases of $118 million are ahead of the guidance on an annualized basis. And with that, I will turn it over to Cindy Lee to review the financial details before we turn over the call to questions.
Cindy Lee: Thank you, Joe. Good morning everyone. On slide three of our supplemental materials, we provided a summary of our quarterly performance. For the second quarter of 2023, our adjusted net trading income or NT, which represents our trading gains, net of direct trading expenses, totaled $279 million or $4.5 million per day. Market Making adjusted net trading income was $193 million or $3.1 million per day. Execution Services adjusted net trading income was $85 million or $1.4 million per day. Our second quarter 2023 normalized adjusted EPS was $0.37. Adjusted EBITDA was $122 million for the second quarter of 2023, and the adjusted EBITDA margin was 44%. On slide nine, we provided a summary of our operating expense results. For the second quarter of 2023, we recorded $173 million adjusted operating expenses. We continue to maintain an efficient cost structure and disciplined expense management, which has helped us to control our operating expenses during the inflationary environment. Financing interest expense was $25 million for the second quarter, with the benefit of the interest rate swap contracts that we entered in the prior years. Our blended interest rate was around 5% for long-term debt in aggregate. Our capitalization remains as is. We remain committed to our $0.24 per quarter dividend. The combination of the dividend payout and the share repurchase program demonstrate our continued commitment to return capital to our shareholders. Now, I would like to turn the call over to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] And for our first question, we will go to the line of Daniel Fannon of Jefferies. Daniel your line is now open.
Daniel Fannon: Thanks. Good morning. Doug, I appreciate the commentary on the environment. I was hoping you could expand a bit. It seems like April was kind of below and then you saw improvement throughout and it appears to be continuing a bit in July. Maybe just bifurcate or expand a bit upon kind of what the asset classes or areas, geographies that maybe really have seen both kind of the more improvement and also kind of where the biggest levels of change have been?
Douglas Cifu: Yes. Thank you, Dan. You're under a lot of pressure because you've now replaced with Repetto as the lead-off questionnaire. So, we all miss Rich and thank him for all of his efforts over the years. But anyhow, I am getting back to your question. Yes, April, just anecdotally in talking to competitors, particularly on the institutional side, was one of the slowest months that people have seen in over a decade. I think a lot of that had to do with macro issues, had to do with some of the regional bank catastrophes for lack of a better word that were happening here in the United States. So, it was just very, very slow. And the big banks saw that in April as well. And certainly, we saw it on the market making side. The performance then progressed throughout the quarter and picked up through and including June obviously, and allowed us to report the quarter that we're reporting. And as I noted in my comments, we have seen an improvement. It's only 15, 16 or whatever 17, 18 trading days in July, and that trend has continued. I would say most particularly in US equities, which is our largest asset class, and that obviously drives a lot of our performance certainly on the Market Making side, I did highlight in my remarks that Europe, in particular, was very, very slow in the second quarter. There's a public company called Flow Traders and they reported and they obviously had a difficult second quarter, so you can kind of see what the metrics are in terms of Europe and whatnot. We've seen somewhat of an improvement of that in June and July as well. So, I would say, really, US equities, in particular, was very surprisingly slow in April, and we've seen an improvement.
Daniel Fannon: Great, that's helpful. And you mentioned fixed income, I think in the commentary around some of your data for the quarter. One of your domestic peers had an announcement this quarter about getting more -- being more active within corporate fixed income on the market-making side. Can you maybe talk about your presence in that market and how you're thinking about that opportunity going forward?
Douglas Cifu: Yes. No, look, I mean I think it was great news to be candid. I mean, obviously, they're a competitor and a great firm, you're referring to Citadel Securities. I think it validates our thesis that -- and it gives that we've been active as a market maker and credit. We're going on like our second kind of full year, if you will, doing all of the Virtu things in terms of onboarding counterparties, developing, trading, expertise in mostly investment-grade debt, becoming a disclosed market maker on MarketAxess and partner with MarketAxess and TradeWeb and Bloomberg and all the other venues that allow us to have distribution. The good news is that we've improved our win rates. We've improved our credibility, if you will, and we think that we can be a credible source of liquidity as the liquidity provider either directly to buy-side counterparties or through distribution partners like MarketAxess, TradeWeb, et cetera. In addition, we have expanded our capability in rates both on the run and off the run. We have over 50 firms that we are enabled for trading rates, again, using primarily Bloomberg and TradeWeb. We're agnostic as to the distribution mechanics. We know those are both great firms that give us scale and credibility. And so it's very early days of seeing maybe less than like 5% of the volume from 5% to 10% of the clients on these platforms. It's something that I'm personally engaged with because I think it's a marketplace where we can add value. Again, there's a lot of room and I think a lot of opportunity, and we've always done well competing in our part of the market and using our style. So, these are two marketplaces, if you will, both credit and rates where we think that we can add value and that announcement from Citadel just frankly validates the decisions that we made a couple of years ago to reallocate some of our resources, capital and personnel into this area.
Daniel Fannon: Thank you.
Douglas Cifu: Thank you, Dan.
Operator: [Operator Instructions] And for our next question, we will go to the line of Ken Worthington from JPMorgan. Ken, your line is now open.
Ken Worthington: Hi, good morning. Thanks for taking the question. I would love an update in terms of where you are in the single stock option Market Making rollout road map. Is the 605, 606 type of business still the end goal for you in options? And maybe how far along is Virtu in terms of being able to effectively participate in that single stock options business the way you do for equities for client business?
Douglas Cifu: Yes. Good question. It is definitely the end goal. I would say not that we've got distracted from it. I think the opportunity, frankly in index market making, both on the customer and non-customer side has frankly dwarfed, can that opportunity, I mean you probably track all the metrics in terms of what the SPI and SPX volumes were relative to single options and there has been a dramatic shift. I don't know if it was because of zero date options or whatnot. I mean that's for -- you can ask CBOE and some of the other smart people ask why that's happened. But I mean, I guess our decision to compete first in the index family has been validated because we've seen an enormous shift of interest on the institutional and frankly, on the retail side because you can see what's a customer option and what's not a customer option in a lot of these venues to the index family. So, it is certainly in the road map, but it has descended in importance because the addressable market is so huge in the index family here in the United States. I would also point out that we do have an up and running index business in Asia, primarily in the Indian and Japanese markets. So, I don't want to put a date on it because every time I suggest we're going to be -- we'll be operational by so and such date, we keep pushing it out because there's such an opportunity in the index family that we continue to -- and frankly, with MEMEX and different options, venues continue to come on, there's a lot more opportunity to improve our index Market Making capabilities in the United States.
Ken Worthington: Great. Thank you.
Douglas Cifu: Thanks Ken.
Operator: Our next question today is from the line of Chris Allen of Citi. Chris, your line is open if you like to proceed.
Chris Allen: Yes, morning everyone. I wanted to follow-up on Dan's question on the rates. Historically, you've talked about market structure impediments to getting bigger in the rates business. What's the outlook there? There's a lot of talk around moving to centralized clearing, improvement on settlement times. And then in terms of your penetration level right now, less than 5% of volume, is this just because you're kind of just getting up to speed right now, just starting to slowly build the business? What's the longer-term opportunity set do you see there?
Douglas Cifu: Yes, I'm going to do something that you will never hear me say on an earnings call and complement the chair of the SEC in terms of centralized clearing of treasury products and real-time reporting or relatively real-time reporting or trace for treasuries. All of those things are positive, I think, for the marketplace. And certainly, those are initiatives that this SEC has undertaken, and we have been publicly and privately very supportive of those because I think it enhances competition. So, I think what has changed in the marketplace is a little bit of that. I mean the natural efficiency of the marketplace, I mean 10 years ago, even five years ago, these were marketplaces that were largely dominated by the big dealers. I think the buy side has gotten smarter in terms of seeking alternative liquidity providers. There are dozens of those. And we now have credibility with the distributors of the product, i.e., the TradeWebs and the Bloombergs of the world who are great business partners of ours. I should -- MarketAxess, obviously, bought LiquidityEdge, and so we work with them as well, so using those partners to enable our distribution and to give us credibility. I mean it's always a fight Chris, to get into the wheel, if you will, on the buy side. So, they don't -- they can't enable 30 liquidity providers. It's no different than in equities and what we do in our business and alert, et cetera. So it's understanding who the key counterparties are getting credibility with the distribution channels and the TradeWebs, the Bloombergs, the MarketAxess' of the world and then providing good real-time pricing. I mean, just yesterday, we were engaged on this with some senior folks at TradeWeb to understand who the main clients are, how we can get better, what they're looking for in terms of mark-outs and response times. It's the blocking and tackling of market making, which we're very, very good at, but it's a very competitive marketplace with dozens and dozens of competitors and hundreds of hundreds of counterparties. So, sifting through all that to build out the right offering and provide value to the market is what we're doing. So, -- but we're in the top 20 on TradeWeb right now, which is great. But obviously, we would like to be in the top 10 and ultimately in the top five, whether that's realistic or not given the competitive nature of that market. But I think our scale gives us an advantage. And again, the fact that we're multi-asset class. So, to the extent, these rates products manifest themselves either as a future in ETF, obviously, those are marketplaces that we have access to as well. And we always pride ourselves in being the most efficient provider of the two-sided "that's a nice way of saying, we manage our expenses." And so we can tighten up our prices in order to be competitive. So, again, this is just kind of Virtu 101, how to build the business. This is clearly different than some of the other than US equities, but it's in a marketplace that we think is eminently addressable by our product offer.
Chris Allen: Thanks a lot guys.
Douglas Cifu: Thank you.
Operator: Thank you. [Operator Instructions] And our next question is from the line of Michael Cyprys of Morgan Stanley. Michael your line is open.
Michael Cyprys: Great. Thank you. Good morning. I want to circle back to your commentary on the index options volumes where you guys have been quite active. It sounds like you're excited about the opportunity set there. But I was hoping you might be able to maybe elaborate on what you're seeing across the marketplace that's driving the strength in index options? And how sustainable do you think this activity is, particularly if we go into different types of market environments over the next year or two? And if you could maybe color -- provide any sort of color on what sort of customers you're trading with on the other side? We hear a lot of it is retail, but maybe how would you characterize that retail activity? And to what extent do you see or think institutions could start to come in?
Douglas Cifu: Yes, that's a very good question, Michael. Look, I mean, I give credit, I guess, to the folks at the options exchanges that were driving these products. But like the daily exploration product, I think our sense is that it trades more because they're -- use the word better and cheaper hedging instruments than other instruments that have been out there. So, this drives volumes and drive interest from both professional traders and institutional traders. So, we don't expect that -- I mean obviously, there will be ebbs and flows with macro and market volumes, but we don't expect that the shift will change anytime in the near future and hats off to the folks at CBOE and other institutions that have done a great job creating a hedgeable instrument that is -- that provides efficiency and scale. I mean that's how markets work, and that's what we're all about and so we're excited about that. So, we feel validated and I give a lot of credit to the folks that run our options business because they beat me over the head and said, no, this is where the market is going to be going a couple of years ago, and they were right. And so the fact that we are up and running and very, very competitive in those products is -- has been very, very beneficial to our business. In terms of like what "customer" flow this is, whether it's mom-and-pop retail. I would imagine it's not because, obviously, there's suitability concerns. I think it's probably smaller trading firms and folks like that, that are going through options aggregators. And that's really where our focus has been in terms of customer engagement. It's not necessarily with the big retail firms, but more of the options aggregator firms like DASH and firms like that, that have that -- that act as a front end and an aggregator for professional or smaller trading firm options flow. And I think that's where we will -- we have focused and we'll continue to focus our energies. It's been about 40% of the flow come from customer accounts in the SPX index complex and that's meaningful. Tag either customer or non-customer, so you can kind of allocate your interest based on that. So, that's significant. It's a very attractive, addressable market and that's where we focused our energies.
Michael Cyprys: Great. Thank you.
Douglas Cifu: Thank you.
Operator: Our next question is today is from the line of Patrick Moley of Piper Sandler. Patrick, your line is now open.
Patrick Moley: Yes, good morning. Thanks for taking my call. So, just, Doug, I had a question on internalization opportunities. I was wondering if you could maybe compare and contrast the opportunities you saw in the second quarter relative to the first quarter? And then just given the lower volatility environment we're in, maybe what that means for those opportunities going forward? And maybe what that means for the normalized earnings power of the firm overall? Thanks.
Douglas Cifu: Yes. Good question and welcome to the call. As Rich's successor, you got some very, very large shoes to fill. Good luck to you, and we look forward to working with you. So, to answer your question, look, we don't disclose what our internalization rates are by our various groups, but it is, and I have mentioned it historically on hold, and it continues to be a key competitive advantage to this firm. Our rates were in line with what we thought opportunities were during the quarter. And so we were very, very pleased with what we're doing. I mean, the examples, I've given before about options have hedging and the ETF desk, laying off risk on our single stock desk, et cetera, et cetera, down the line continues at pace. I think that is part and parcel of the culture and equally important, the technological setup of Virtu in the sense that like a widget is a widget is a widget, and we don't really have desk per se, so we're very capable of doing that. One thing I will point out is that like our -- for our at-the-money offering business Virtu Capital Markets, we have a -- it's at least double what we think other competitors can do in terms of crossing with internal Virtu flow. So, that's a key selling point. We obviously don't have research, capital and calendar. What we offer in that business is real alacrity around execution capabilities, both on a technological side, but also being able to internalize and offer a lot of the flow. And based on our understanding of what other desks do or other institutions do, we believe that our internalization rate, for example, on our ATM business is at least 2x what our competitors are offering, and that has resonated with clients and hopefully will resonate with more issuers in the future. We continue to be very excited about that business in particular, Patrick.
Patrick Moley: All right. Thanks a lot.
Operator: Our next question today is from the line of Alex Blostein of Goldman Sachs. Alex, your line is now open.
Alex Blostein: Hey good morning guys. Thanks for the question. I was hoping we could spend a minute on balance sheet strategy from sort of two angles. I guess, on the one hand, hear you on opportunities in fixed income. So, to what extent do you think that might impact? How much capital you need to run the business with and what that means for sort of capital return framework down the road? And then secondly, if we look at the balance sheet leverage, that's obviously been picking up with EBITDA coming down. So, just maybe a reminder what level of debt to EBITDA do you feel comfortable running with? And again, with higher leverage today, does that impact your capital return framework at all?
Joseph Molluso: No. Alex, it's Joe. I'll take that. There's no change in that view. I mean, naturally, with a softer environment and reduced profitability, our returns are going to look lower on a trailing basis. But in terms of the amount of capital we need to run the firm, in terms of prudent buffers and meaningful or regulatory obligations, there's no change. And the fixed income business is kind of planned for, right, within the amount of capital that we use today. And unsurprisingly, in a softer environment, we deploy less capital than we do in a more expansive environment, right? And so from slide six, when you look at those trailing invested capital numbers and our EBITDA and our return, I would say, one, it includes planning for fixed income, which is a little more capital intensive. We use -- obviously, we use prime brokers. We don't self-clear there, but we are appropriately kind of planned for in the numbers that we deploy. That's kind of -- that's point one. Point two, in terms of the overall leverage, look, we were very fortunate, I think, both from a timing standpoint and from a kind of a management of the leverage in terms of swaps and muting the impact of the higher rates. So, we're very happy with the overall level of debt. It allows us to buy back shares at the various points I've updated the slide in here this quarter, and it allows us to have the flexibility to keep our dividend. So, we are -- we refinanced in early 2022. We got rid of most of the more punitive kind of required cash flow sweeps and amortizations. So, from -- we don't really look at it as whether it's two and a half times, three times. It's a volatile business. We're kind of right -- focused more on the notional level of debt, and we're very, very comfortable with where it is today.
Alex Blostein: Okay. Thank you.
Joseph Molluso: Thank you.
Operator: Thank you. We have no further questions in the queue today. So, this will conclude the Virtu Financial 2023 second quarter results conference call. Thank you all for joining. You may now disconnect your lines, and please have a lovely rest--